Operator: Good day, and thank you for standing by. Welcome to Ipsen's Conference Call and Webcast on full year 2025 results. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, David Loew, Ipsen's CEO. Please go ahead.
David Loew: Thank you, operator, and hello, everyone. I'm delighted to welcome you to our presentation this afternoon, which can also be found on ipsen.com. I want to use the time we have together to focus on the progress Ipsen delivered in 2025 and on the future opportunities and platforms for growth. Please turn to Slide 2. Please take note of our forward-looking statements, which outline the routine risks and uncertainties contained within this presentation. Also, all of my comments on growth will be based on constant exchange rates. Please turn to Slide 3. I'm going to take you through the presentation of our latest business update followed by our CFO, Aymeric Le Chatelier, who will take you through the financials. And finally, I will provide an R&D update. At the end of the presentation, we will open the Q&A session. Let's begin by looking at today's highlights. Please turn to Slide 4. Turn to Slide 5. Today's headlines illustrates how we are continuing to deliver strong and sustainable growth. In 2025, total sales grew double digits by 10.9% and performance driven mostly by the strong performance of our portfolio, excluding Somatuline, which grew by 14.2% over the year. Regarding margin, we delivered a core operating margin of 35.2% of total sales. Turning to regulatory highlights. This year was marked by the EMA regulatory submission of tovorafenib for pediatric low-grade glioma in the first quarter. EU approval of Cabometyx in neuroendocrine tumors in July and importantly, by the announcement of the first data for our first-in-class differentiated long-acting molecule IPN10200 in September. Looking ahead, 2026 promises to be another exciting year for our pipeline with 5 key milestones, which includes 3 pivotal readouts in addition to the highly anticipated full data presentation of the Phase II data for IPN10200 in first aesthetics indication Glabellar lines at an upcoming medical meeting. Lastly, we are expecting another year of double-digit sales growth for 2026, supported by accelerated performance across the entire portfolio and the better outlook for Somatuline given the production challenges faced by generic competition. Aymeric will provide more details in his section. Please turn to Slide 6. Our full year sales delivered a solid 10.9% growth and 7.5% in Q4 fueled by all 3 therapeutic areas with an improvement of performance for neuroscience and rare disease this year compared to last year. The portfolio, excluding Somatuline, grew at 14.2% this year and by 19.6% in Q4. Oncology performed well with sales growth of 4.1% but were down in the last quarter due to a decline in Somatuline sales versus a very high baseline in 2024. Rare disease performed very well with sales doubling this year. Neuroscience with Dysport continued to deliver high single-digit growth. I'll now turn to oncology for more detail. Please turn to Slide 7. Starting with Somatuline, sales were up by 4.3% for the full year. Both Europe and the U.S. continue to benefit from shortages of generic lanreotide, and we saw a strong performance in Rest of World. As we have previously communicated, we are aware of recent updates on the potential challenges with regards to the manufacturing and availability of generic lanreotide in several markets, and this is factored in our guidance. Cabometyx sales were up by 5.1% with solid performance in Europe, driven by renal cell carcinoma growth and boosted by the neuroendocrine tumor launch despite increased competition in rest of world. Decapeptyl sales were up by 2.7% as we experienced volume growth in Europe and China despite continued competition and some pricing pressure in some countries. Onivyde sales grew by 6.2%, with expansion of use in the U.S. driven by the first-line metastatic pancreatic ductal adenocarcinoma indication. We expect sales to continue to grow modestly, but acknowledge that we are now unlikely to reach EUR 500 million in peak sales. Now let's turn to rare disease. Let's go to Slide 8. On rare disease, Bylvay continues to perform well with annual sales of EUR 180 million, growing by 36.3%. Growth was driven by both PFIC and Alagille syndrome indications in the U.S. Additionally, we saw a strong double-digit growth in both Europe and in Rest of World. Q4 sales growth was impacted by ongoing competitive challenges in the PFIC indication and we expect to see the positive effect of the new pediatric field force we put recently in place in the coming months in the U.S. Iqirvo continues to track very well with annual sales of EUR 184 million, with growth coming from all regions. Let me go into a bit more detail on the next slide. Please turn to Slide 9. As you can see, we have demonstrated strong quarter-on-quarter growth since the launch just over 1.5 years ago. In the U.S., we have seen a significant number of Ocaliva patients switching to Iqirvo, on top of a growing PPAR market. We believe that the new data published at AASLD this year has further strengthened Iqirvo's profile as a drug with both long-term efficacy and safety, including improvements in pruritus, fatigue and fibrosis. In Europe, we are continuing the launch across many countries. We're also very pleased with how well the launches are progressing, capturing new patients and contributing to expand the market. Moving to neuroscience, please turn to Slide 10. Dysport delivered another year of solid performance with sales growth of 9.7% for the full year. In aesthetics, sales grew by 13.7%, driven by continued strong sales in most territories, including the U.S. and rest of the world and by strong performance from our partner, Galderma, who continued to gain market share in key countries and a solid growth in our Ipsen territories. On the therapeutic side, Dysport grew by 4.2%, driven by strong growth in the U.S. and Europe. Reported sales were, however, down in rest of world impacted by adverse phasing of orders in Brazil. That concludes the review of sales. I'll now hand over to Aymeric, who will provide you more details on our full year financials. Please turn to Slide 11.
Aymeric Le Chatelier: Thank you, David, and hello to everybody. I will now take you through more details of our 2025 financial performance and our guidance for 2026. Please turn to Slide 12. We delivered another set of strong financial results this year across sales, profitability and cash flow. First, our total sales, which exceeded EUR 3.6 billion, grew by 10.9% at constant exchange rate. Our core operating income grew by 16.7% to EUR 1.3 billion, in line with our free cash flow increasing by 29% to reach EUR 1 billion. Given the strong performance and our solid balance sheet with no debt, we had EUR 3.2 billion of firepower available for external innovation. Let's take now a closer look at those financials in the next slide. Please turn to Slide 13. Starting with the P&L to core operating income. I would like to highlight that we implemented this year a slight reclassification of our distribution expenses. These costs have been moved from SG&A to cost of sales and therefore now impact our gross margin. This change brings our reporting in line with common practices of most of our industry peers. You have all the details in the appendix of that presentation. Now if we look at the figures, the growth in total sales of 10.9% at constant exchange rate translated into 8.1% at current rates, given the adverse currency movements. Gross margin increased by 2.1 points driven by the earlier level of other revenue by EUR 80 million, mainly due to commercial and regulatory milestone received from ex U.S. partner for Onivyde and some other products and the growth in royalties received primarily from Dysport partner. SG&A costs increased by only 6.9%, with a ratio to sales at 31.6% improving by 0.3 points, reflecting an increased investment to support the launches, especially Iqirvo and Bylvay and the impact of our ongoing efficiency program. R&D costs increased by 9.8% to reach 20.5% of total sales, driven mainly by increased investment to support the development, mainly in neuroscience and early-stage oncology assets. As a consequence, our core operating income increased by 16.7% with a core operating margin standing at 35.2%, increasing by 2.6 points. Please turn to Slide 14. Turning to IFRS consolidated net profit. This year, we recognized impairment losses for about EUR 350 million before tax mainly driven by, first, Tazverik for which we no longer expect to achieve the EUR 500 million peak sales given the recent competitive developments. Secondly, by fidrisertiband following the negative readout in December 2025 of the pivotal Phase II trial and thirdly, by the discontinuation of some of our early-stage assets. Despite this impairment, IFRS operating income and consolidated net profit increased by 26% and 28%, respectively. Please turn to Slide 15. Finally, on cash flow. We continue to generate strong free cash flow this year and maintain a solid balance sheet with a cash position of more than EUR 500 million at the end of December. Free cash flow increased by 29% to EUR 1 billion, driven by EBITDA growth, sound management of capital expenditures and working capital. Net investments included the acquisition of ImCheck Therapeutic for about EUR 350 million and some regulatory and commercial milestones. As a consequence, with a net cash position of exactly EUR 560 million at the end of December and based on the maximum of 2x net debt-to-EBITDA we had an available firepower of EUR 3.2 billion for external innovation at the end of 2025. Let's now move to 2026 guidance. Please turn to Slide 16. For this year, we anticipate another year of double-digit sales growth with a high level of profitability. For total sales, we expect growth of more than 13% at constant exchange rates. This year, we also anticipate adverse impact of around 2% from currency based on the January exchange rate. This guidance on sales is assuming an accelerated sales growth of the portfolio, excluding Somatuline. This will be driven by Iqirvo, Bylvay, Dysport but also Cabometyx as well as the continued growth from Somatuline. Given the recent challenges with regard to the manufacturing and availability of generic lanreotide, we assume limited generic supply in 2026 with a potential entrant only in the second half of this year. On profitability now, we anticipate a core operating margin greater than 35% of total sales. We will continue to leverage our top line growth with moderate increase in SG&A and R&D ratio to stay around 20% of sales. However, currency rates and a lower level of other revenue will have an adverse impact on our margin in 2026. Regarding our midterm outlook, we are highly confident to exceed our total sales average growth of at least 7% per year for the period '23 to '27 and our 2027 core operating margin greater than 32% given the higher-than-expected Somatuline sales due to continued generic loyalty challenges and the stronger performance of our broader portfolio across our 3 therapeutic areas. With that, I will now hand over to David. Please turn to Slide 17.
David Loew: Thank you, Aymeric. I will now provide an update on our R&D efforts. Please turn to Slide 18. We have another exciting year for our pipeline. We have seen strong expansion in oncology with 4 active Phase I programs evaluating promising new modalities in solid tumors and the addition of IPN60340 formally known as ICT01, which came through the acquisition of ImCheck. In rare disease, following the positive Phase II trial, we have opened a Phase III program evaluating elafibranor in primary sclerosing cholangitis, which I will share more on in a moment. In neuroscience, our broad programs continue to advance across both Dysport and our long-acting molecule IPN10200 with new Phase III programs expected to open in H1. Please turn to Slide 19. In oncology, a growing focus of our pipeline is on precisely modulating the immune system through multiple synergistic routes. I would like to highlight a couple of new molecules entering Phase I. Our antibody drug conjugates, IPN60300 targets a novel tumor antigen known to be expressed on multiple solid tumor types, and we are pleased to confirm first patients have been dosed in this trial. We also have our T-cell activator IPN01203, a potential first-in-class asset that selectively activates V beta 6 T cells through TCR and IL-15 R pathways. Please turn to Slide 20. Moving to rare disease and primary sclerosing cholangitis or PSC, an area with no approved treatment options and the majority of patients requiring a liver transplant. Following the promising Phase II data, we are excited to announce a Phase III study, elascope, which will be the only global study in PSC looking at the long-term clinical outcomes as primary objective. Elascope will evaluate the efficacy and safety of elafibranor 120 milligrams versus placebo in patients with PSC based on time to first occurrence of clinical outcome events and multiple secondary endpoints. Please turn to Slide 21. Turning to neuroscience following the announcement of our Phase II first proof of concept in Glabellar lines in September '25. We are on track to open 2 global Phase III trials for IPN10200 in Glabellar lines. Both trials will evaluate the efficacy and safety of IPN10200 at week 4 and 24 with key secondary endpoints, including patient satisfaction scores and onset of action. Please turn to Slide 22. We remain diligent in our external innovation efforts and announced strong additions to the oncology pipeline as we closed '25. We are delighted that the lead program IPN60340 from our acquisition of ImCheck Therapeutics was awarded U.S. FDA Breakthrough Therapy designation in January, recognizing investigational therapies with evidence of a substantial clinical improvement. A global licensing with Simcere Zaiming outside of Greater China brings another antibody drug conjugate into our pipeline, which is expected to enter Phase I soon. Finally, reinforcing the strength of our ongoing partnership, we added further 2 research programs with IRICoR, evaluating MAPK-related inhibition. Please turn to Slide 23. As you can see, we have several milestones to look forward to over the coming years. Firstly, we await the EU regulatory decision for tovorafenib in the first half. In the second half, we see many Phase III unblindings for Bylvay in biliary atresia, Iqirvo for PBC patients with an ALP of between 1 and 1.67 and Dysport in migraine and also for the Phase II data for IPN10200 in forehead lines and lateral cancer lines. Then as we look to next year, we have more proof-of-concept readouts for our long-acting neuromodulator, IPN10200 in the therapeutic indication as well as Phase III unblinding for Tazverik and tovorafenib. With that, please turn to Slide 24. We continue on our strong momentum and remain firmly on track to achieve our ambitions. I'd like to leave you with 2 key messages. First, we delivered strong '25 results with double-digit sales and profit growth fueled by the performance of our existing portfolio and launches. This consistent growth reflects our focus on execution and our ability to deliver across both commercial and medical fronts. We will further strengthen our R&D investments and grow our internal pipeline while investing to support our current and future commercial launches. Secondly, the outlook to 2026 is strong with double-digit sales growth guidance, multiple regulatory and clinical milestones to come and significant firepower to pursue external innovation. We look forward to another year of accelerated growth as we continue on our transformation. Turn to Slide 25. This concludes our presentation, and we will now take your questions. Operator, over to you.
Operator: [Operator Instructions] We will now take our first question from the line of Charles Pitman King from Barclays.
Charles Pitman: Charles King from Barclays. Two questions from me, please. Firstly, just on your guidance, I think it's quite noteworthy that your guidance in FY '26 is significantly ahead of that midterm growth outlook. So firstly, just is it fair to say your guidance philosophy is less conservative this year? And given the double-digit growth in FY '25 and guided to '26, just wondering kind of why you're not looking to readdress and raise that midterm target into '27? Then just secondly, on the kind of aesthetics neurotox business, can you just confirm -- in the press release, you talked about product mix dynamics seen in the U.S. given this is a single product, I'm just wondering kind of what these are, if you could provide a little bit more clarity. And then beyond that, I know you're unlikely to comment, but just if you're able to give us any further thoughts on the potential partnership discussions you're having with Ipsen 10200 within the aesthetics indication, that would be great.
David Loew: Okay. Thank you, Charles. I will let Aymeric answer on your guidance question.
Aymeric Le Chatelier: Yes. So thanks for the questions, and maybe I will clarify. I think that our guidance is today our best estimates regarding first Somatuline on one side. for which we are still expecting potentially some generics to be able to be on the market in the second half of the year. So I will say we are pretty balanced. And I think we have also a great ambition to continue a very strong growth of the portfolio ex Somatuline, where we expect to be able to accelerate the growth, and we deliver 14% growth this year. Regarding the midterm target, as you remember, the midterm target was to exceed 7% annual growth and to exceed 32% margin by 2027. So I think the message today is very clear that we are highly confident we're going to do better than this number, but this is still going to be exceeding. And I don't think we want to provide 2 guidance for 2 consequential year. So we are clearly highly confident to 2027. I will provide a guidance for 2027 when it's going to be time in a year time. On the product mix, maybe I can just answer the product mix and let you answer. So I think the product mix is more related to the product and sample of Dysport in aesthetic as you know, we're providing our partner with both products and sample and the economics are slightly different. That explains what we qualify as a product mix in our communication.
David Loew: Then on your third question on our long-acting neurotoxin. As you know, in January 26, the arbitral tribunal of the International Chamber of Commerce issued a final decision in favor of Ipsen dismissing the claims brought by Galderma in connection with Ipsen's termination of the R&D agreement. And so the Tribunal confirmed also Ipsen's full rights to its clinical stage toxin programs in the aesthetics field, including therefore, the IPN10200 that you were alluding to. So basically, we continue to assess all options and we can't give you more information at this point, but we're going to come back as soon as we have made progress on this.
Operator: We will now take the next question from the line of Xian Deng from UBS.
Xian Deng: It's Xian from UBS. Two questions, please. So both on Iqirvo. So just wondering, the first question -- the first question is just wondering, Iqirvo previously you guided for EUR 500 million peak sales. And -- but of course, now the drug is doing really, really well. So I was just wondering, would you say now your peak sale guidance there is very conservative? And if you could maybe give us some color on what assumptions did you have when you set the guidance and what has changed since then? So that's the first question. And the second one is also on Iqirvo. Actually, just wondering about the patent or exclusivity situation. So my understanding is that the compound patent has already expired in the U.S. right now is protected by offer exclusivity on PBC. So just wondering, given now you are also running -- you already started the Phase III in PSC. So just wondering how should we think about the exclusivity/patent protection on this one, please? Sorry, just can I just quickly clarify -- did I hear that right? You mentioned on Somatuline you are expecting potential generics to come back in second half this year. So is that conservative as well? Have I heard that right?
David Loew: Okay. Thank you, Xian. So on Iqirvo, the EUR 500 million peak sales guidance. So yes, we are very pleased with the performance, I have to say. We are going to observe how this goes. And especially also we have the ELSPIRE trial, which is going to read out in the mid of this year. And then subsequently, once we have seen that, we're going to look at potentially looking at changing the guidance if required. For now, we say it's above EUR 500 million. But I have to say we're extremely pleased with what we are seeing and with the performance that we have in the U.S. and ex U.S., yes. On your -- on the exclusivity question, we have orphan drug protection until '31. There are additional patents, which exist as well. Just to help you also on PSC on that question because PSC, and I think you're alluding to this, might report shortly before that date of the '31 that you have given. You need to keep in mind that, first, we have gotten orphan drug designation for PSC so there is a separate protection for PSC. It's a different dose. It's 120 milligrams, not 80. So that's already very different. There will be a different tablet as well. It's a different packaging, et cetera. So we think this is going to confirm quite good protection, and this is why we have given a go to that trial besides being excited about the data, obviously. And then on your third question regarding Somatuline, H2, it's hard always to exactly know what's happening with these generic companies. What I can say is that we have said that in the past, and I think it becomes very obvious, it's a very difficult product to produce because the gel is very viscous. It shouldn't be too viscous. It shouldn't be too liquid. So it's hard to produce. You have also seen that there have been FDA 483s and [indiscernible] on some of our competitors. So I think -- for the moment, it is reasonable to say that we're anticipating generics entering in H2.
Operator: We will now take the next question from the line of Simon Baker from Rothschild & Co Redburn.
Simon Baker: Three, if I may, please. Just going back to Somatuline. You've indicated that at best, there will be some generics later in this year. But I'm looking at this from a slightly different perspective, where does this leave you in terms of long-term contracting with your customers? Because it's all fine and dandy to have a generic available at a significant discount. But if the manufacturer can't deliver and can't manufacture it, it's rather academic for the customer and creates a lot of inconvenience. So does this really open up the possibility for tying in your customers into long-term contracting where you alone in the market can guarantee quality and supply. Any thoughts on that would be very helpful. And then just a couple of quick ones. You gave us the patient incidents of PSC in the state. I just wondered if you could give us a little bit more detail on and point us on how big you think this opportunity is. Some have suggested this is a $1 billion opportunity. And as you say, there are no existing treatments. So any thoughts there would be helpful. And then finally, on Iqirvo, if you could just give us an update on the sort of commercial dynamics share of voice in that category because your competitor there is rather preoccupied with launching another product in another category. I just wanted to see if you -- if there's been any change to marketing intensity by competitors in that space.
David Loew: Thank you, Simon. On Somatuline, we, of course, do contracting with several of the customers, especially in the U.S., of course, that's a current practice, I would say. And this has, in the past, already helped to mitigate somewhat the penetration of the generics. So I would say we have done this already before, and you have seen the effect of it. So it all comes down, I would say, can they actually deliver or not and in what kind of quantities. On your second question, to give you a feeling on PSC. PSC is about the same market opportunity as PBC. And why do I say this? In PBC, it's a second-line indication that we and Gilead are having currently and so we are talking roughly 30,000 patients in the above 1.67 and about 20,000 in the below 1.67. And then in PSC, you have 40,000 patients, prevalent patients. And so that means that today, all these prevalent patients, they have no solution in PSC and we're actually going to be first line contrary to PBC where we are a second line. So basically, that explains why the market opportunity is about equal as the whole PBC pool. So for us, quite an exciting opportunity, I would say. And then on your third question, the dynamic share of voice. So for the moment, we don't see a change on Gilead's presence. They are heavily present, I would say, so as we are, right? So I think we performed very well, and we are very pleased with the performance that we are seeing.
Operator: We will now take the next question from the line of Richard Vosser from JPMorgan.
Richard Vosser: A few, please. Just returning to Somatuline. I wonder if you could just talk about price and volume thoughts in '26. Clearly, lack of generics means potentially you could raise price. So if you could talk about that and how that might impact also on '27. And for '27 on Somatuline, you talked about exceeding the margins. Just -- any thoughts to the extent of generic competition of Somatuline you might be thinking in '27 would also be helpful. Second question, just on Iqirvo as well. Just thinking about the growth, which has been stellar, what bolus do you think you've got from Ocaliva and how that might feed into growth expectations for the second half of '26. And then finally, on business development M&A, you've highlighted the EUR 3.2 billion firepower. And I think previously, you've highlighted thinking about strengthening the oncology business. But maybe you could give us an idea of latest thoughts around business development and what you're looking for and how that might impact R&D spend going forward.
David Loew: Yes. Thank you, Richard. So on Somatuline price volume, I'll let Aymeric answer.
Aymeric Le Chatelier: Yes. So Richard, on Somatuline, I'm not going to be able to provide you all the detail of our assumption. But clearly, the lack of competition will allow you to -- will allow us to regain volume both in Europe and in the U.S. I think that's the trend on top of a very dynamic market that we see for NET, where it's still a market that is growing in the 4% to 5% per year with very strong position for lanreotide. On the price side, I think there are opportunities, probably more in the U.S., and David was talking about on the prior questions regarding the contracting. As you know, there is significant rebate which have been negotiating in the U.S. We have also passed a price increase at the beginning of the year. Ex U.S., I will say the situation is more complicated. In many countries, it's probably difficult to change the pricing, and there may be some markets where we have tenders, and we are still assessing that opportunity. The second part of your question was regarding the margin in 2027. So as I said, I'm not going to provide a guidance for 2027. As you know, we are very confident to exceed the outlook. Now the shape of 2027 will depend at what pace the generics are going to be able to make it, how many generics are going to be able to make it, if any, in the second half of this year and in 2027 and that could have an impact on the level of profitability. But we are very confident that in any case, we will be exceeding to some extent, the 32% target that we gave.
David Loew: Then on your third question regarding Iqirvo growth and the bolus of Ocaliva. So what you have seen in terms of sales acceleration from September to December, is really the delta in terms of the acceleration came from the Ocaliva switches. We think the Ocaliva switches are mostly done. So we are on a higher level and that higher level should carry forward, of course, into 2026 because we are seeing still new patients, which are new to second line coming on to Iqirvo. So we're very pleased with that. And this is why we are very confident on Iqirvo and we observe a very strong dynamic. On mergers and acquisitions. So as you pointed out, we have a bit more than EUR 3.2 billion of firepower. We intend to use this if we see the right opportunities. As I stated before, at JPMorgan, we are looking at oncology late-stage opportunities that we want to bring on board. And then, of course, in our guidance, as you remember, we already include the preclinical and early clinical in that guidance and in the margin. So you will also see us use part of this firepower for some of the earlier deals.
Operator: We will now take the next question from the line of Victor Floch from BNP Paribas.
Victor Floch: Victor from BNP Paribas. A couple of questions on IPN10200. So I mean, I think it's fair to say that the optimal target profile for that one differs quite a lot between aesthetics and therapeutic use and notably when it comes to duration of action. So now that you have the full Phase II data in hand, I was just wondering whether you can discuss whether IPN10200 delivered an optimal profile, keeping its commercial potential impact in both opportunities. And then I understand that you don't really want to discuss your option, but I mean just to understand what would be like the tipping point when it comes to either go with a partner or either go with yourself? Is it just about like economics and whether that you want to protect at least the kind of economics you have on Dysport with that one? And finally, on M&A, I was just wondering whether you can discuss whether you would be open to potentially stretch your firepower in your balance sheet beyond 2x EBITDA, if the right opportunity arise.
David Loew: Perhaps, Victor, on your first question, can you just clarify why you are saying that the optimal target profile will be different. That's not something that we would subscribe to.
Victor Floch: Okay. I mean I think it's -- I mean what do we understand in the past that for aesthetics use, I mean physicians were pretty happy with the 6 months duration of dosing, even though at the same time for therapeutic use, I think we're all looking for the longer duration as possible. So maybe you don't agree with that, but so I was just wondering whether you could discuss the target profile you've seen with the IPN10200.
David Loew: Yes. First, I would like to bring this back to data, right? When you look at none or mild in aesthetics at 6 months. Most of the bond As have actually shown that you can go and look at the labels of these different drugs, most of them are between 20% and 30%. And so here, what we have said is we have seen a majority of patients achieving none or mild. And so that data is going to be presented. So in that sense, why many companies are saying, well, some patients are satisfied or they see still some effects and et cetera, I would just bring this back to the endpoints of none or mild because that's usually what is being measured in the clinical trials. So in that sense, with that statement, I think the profile that we want to see in aesthetics and therapeutics is actually the same. You want to see a very rapid onset of action. You want to see a good 1 month efficacy and you want to see a prolonged duration. This is important, not just in aesthetics, but also in therapeutics, obviously, for example, in spasticity, migraine or cervical dystonia, where it can also help alleviate the health care system utilization because patients need to get less often to the doctor. So I don't know if that answers your question.
Victor Floch: Definitely.
David Loew: Then on your second, as I said, we are looking at all options. We are not going to comment on this right now. And then on your third question on the use of our firepower, I'll let Aymeric comment on the stretching the firepower.
Aymeric Le Chatelier: Yes. So Victor, just to clarify, we are today operating clearly on the maximum debt of 2x EBITDA, which is fully in line with our investment-grade rating. This gives us a EUR 3.2 billion firepower on top of our very strong free cash flow, EUR 1 billion this year with a very ambitious guidance that we have this EUR 1 billion should even increase 2026. So we don't see any reason for using more than the 2x EBITDA. Having said that, the Board has always said that we consider if there were to be a unique opportunity and ability to slightly stretch that, but this is not today our priority.
Operator: We will now take the next question from the line of Lucy Codrington from Jefferies.
Lucy-Emma Codrington-Bartlett: Just I was wondering if you could go into a bit more detail in terms of your expectations that Dysport this year, both in terms of aesthetics and therapeutics. And with that, any potential impact that you might expect as the Relfydess launches continue. And then any update on what the aesthetics environment is like in the U.S. and other markets at the moment? And secondly, on Somatuline when you talked about the guide, you said growth. So I know you're -- it's somewhat dependent on the entry of generics, but should we be expecting growth on the numbers reported in 2025? Or still some decline? And then second -- finally, any milestones that we should be factoring in for this year?
David Loew: Thank you, Lucy. On Dysport, we are expecting good high single-digit growth in both markets, aesthetics and therapeutics. We do not anticipate any impact from Relfydess because that's a -- it's a different market. There is a market segment, which is open for liquids. I would say the majority of the market is on great constitution because many of the physicians actually like to dilute to their liking. We have seen this with the Alluzience launch as well. So we don't really foresee any cannibalization. It's quite the contrary. I think both are going to drive growth. Then on aesthetics in the U.S. The market has slowed down a little bit, but our partner, Galderma is performing very, very well, gaining market share. So we are very pleased with that performance. On Somatuline, yes, we do anticipate growth versus 2025 because of what Aymeric just said before is you have -- of course, the volume gain of the generics not being there, but you also have some potential pricing upside. So there is this kind of double effect, if you want, versus the baseline of '25. And then I wasn't quite sure I understood your milestone question.
Aymeric Le Chatelier: I think I get the question on milestone. I think this is related to our other revenue which, as I said during the presentation, have increased significantly in 2025. Our other revenue are made of both royalties that we received from partners and some milestones -- some of the milestones are nonrecurring. That's why we were indicating that our margin in 2026 is going to be slightly impacted by a slightly lower level of milestones and other level of other revenue, while we still continue to have a strong dynamic on the royalty side which is directly linked to the high single-digit expected growth for Dysport with our partner.
David Loew: Thank you, Lucy. I think we have no more questions. So this wraps up our 2025 conference. Thank you for your attendance. Back to you, operator.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.